Operator: Good morning. Welcome to today's Colgate-Palmolive 2024 Fourth Quarter and Year End Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Now for opening remarks, I'd like to turn this call over to Chief Investor Relations Officer and Executive Vice President, M&A, John Faucher.
John Faucher: Thanks, Betsy. Good morning and welcome to our fourth quarter and full year 2024 earnings release conference call. This is John Faucher. Today's conference call will include forward-looking statements. Actual results could differ materially from these statements. Forward-looking statements inherently involve risks and uncertainties and are made on the basis of our views and assumptions at this time. Please refer to our fourth quarter and full year 2024 earnings press release and related prepared materials, and our most recent filings with the SEC, including our 2023 annual report on Form 10-K, and subsequent SEC filings, all available on Colgate's website, for a discussion of the factors that could cause actual results to differ materially from these statements. This conference call will also include a discussion of non-GAAP financial measures, including those identified in Tables 4, 6, 7, 8 and 9 of the earnings press release. A full reconciliation to the corresponding GAAP financial measures is included in the fourth quarter and full year 2024 earnings press release and is available on Colgate's website. Joining me on the call this morning are Noel Wallace, Chairman, President and Chief Executive Officer; and Stan Sutula, Chief Financial Officer. Noel will provide you with some his thoughts on our results and our 2025 outlook and then we'll open it up for Q&A. Noel?
Noel Wallace: Great. Thanks, John, and good morning everyone, and thank you all for joining us today as we discuss our 2024 results as well as our outlook for 2025. Let me make a few points on 2024 before I tell you why we continue to be very confident in our ability to deliver against our goals for this year. I couldn't be prouder of the results of the Colgate team that they delivered in 2024, which drove strong growth and exceeded our initial financial guidance. Net sales of $20 billion in 2024, which is one year ahead of our strategic plan ambition. This was driven by our sixth consecutive year of organic sales growth either in line or ahead of our long-term target of 3% to 5%. We delivered high-single-digit organic growth in 2024 on top of high-single-digit growth in 2023. We delivered pricing and volume growth in all four quarters. For the year, we grew volume in every division and in every category. We're focused on driving household penetration, which we believe is the best way to deliver long-term sustainable growth. We had another year of increased advertising spending up 15% and up 130 basis points as a percentage of sales. This increase, which is on top of 19% increase in 2023 is driving significantly improved brand health. Our third consecutive year of global toothpaste category value share growth highlights that our strategy of driving category growth in order to drive market share growth. Our strategy to build and scale our innovation capabilities is paying off as well as the incremental sales contribution from innovation has risen by 45% from 2021 to 2024. We delivered gross and operating margin expansion despite significant foreign exchange headwinds and the increased spending on advertising, compensation and capabilities through another year of strong productivity, particularly for our funding the growth initiatives. Double-digit based earnings per share growth ahead of our initial guidance despite incremental foreign exchange headwinds on both the net sales line and in gross margin. Record operating cash and free cash flow, record cash return to shareholders along with continued improvement in our top tier return on invested capital. So another very strong year, but let me now move on to 2025. In 2025, we'll see many of the same challenges and opportunities. All through 2024, I have been speaking to you about how our strategy was designed so that we could deliver in 2025 and beyond by investing in future growth, building more flexibility into our P&L and strengthening our balance sheet. The strong investment levels behind advertising and innovation and the continued improvement in returns on that spending give us confidence in our ability to continue to drive volume through household penetration. The increased investment is also improving brand health. As I will discuss at CAGNY next month, higher brand health is the key to our revenue growth management strategy, which will be key to sustaining pricing growth in a less inflationary environment. We will deliver another year of strong innovation led by the re-launch of Colgate Total with superior new offerings in toothpaste, manual toothbrushes and mouthwash. Our investments in data, analytics and AI will also be key to driving pricing growth in 2025. We utilized our strong gross profit growth in 2023 and 2024 to invest ahead of the curve and capabilities, which also give us additional flexibility to control SG&A spending going forward. Our strong cash flow gives us additional leverage for EPS growth through debt paid out to lower interest expense or share repurchases, even as we continue to invest in our business for growth and productivity. So we enter 2025 confident in our strategy and in our ability to deliver consistent compounded growth to deliver on our guidance and drive strong total shareholder return. So with that, I'll hand it over to you for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey, good morning guys.
Noel Wallace: Good morning Dara.
Dara Mohsenian: So just want a bit more clarity around the 2025 guidance relative to Q4, EPS guidance for all-in low-single-digit to mid-single-digit growth is pretty robust considering the onerous FX impact. So just what gives you confidence in such a strong implied local FX earnings growth? Number one. And then two, maybe we can drill down specifically into the OSG line. Obviously, that's a key driver of earnings growth. Q4 is weaker than we have seen in recent quarters, if you adjust for Argentina, the pet private label drag probably somewhere in that close to 4% OSG range, slower than the prior pace. So just as we think about the 3% to 5% guidance for 2025, maybe highlight your level of confidence relative to that Q4 result and maybe what the key points are of uncertainty are either positive or negative?
Noel Wallace: Yes. Good morning, Dara. Thank you. So let me start off with the guidance. As I think I alluded to in my upfront comments, we continue to believe we are very well positioned to continue delivering consistent compounded dollar earnings growth. You've heard me talk about a lot about that over the last couple of years. That's reflected in our guidance and the strength quite frankly of the fundamentals that as you go through our P&L as well as the balance sheet. I've spoken many times to all of you about building flexibility into our plans and that was very much inherent as we looked at our 2025 strategy back in 2020. How do we get more flex into the P&L as we pivot to a much more growth mindset oriented organization. And that's exactly what we've done. So our top line focus will continue with balanced growth in both volume and price. And you've seen that consistently throughout the year in 2024. We believe we'll continue to deliver balanced growth in 2025. We saw volume and pricing growth across all of our categories this year, which is I think a terrific proxy for how we're building the health of those businesses moving forward. So in the context of 3% to 5%, we feel really good about that. We think it will continue to be at the top end of our peer group and it's reflected in the comfort we have in the health of the business overall. You look at market shares consistently up over the last couple of years. You look at the performance across multiple divisions being consistently up quarter-to-quarter. So the health of the business is there. If I move down to P&L, we continue to invest as I mentioned ahead of our capabilities. So we put a lot of money in the last couple of years in building capabilities that we think will allow us to sustain more consistent top line growth. We've reoriented the organization to really focus on dollar earnings growth and making sure that we're looking for ways to offset foreign exchange. No question that will continue to be a headwind, but we believe we've got more opportunities to offset that with other areas within the P&L. The strong cash generation is another area to look to. We've been consistent about building more cash, lowering our working capital to ensure that we have more flex across other areas below the operating margin line in the P&L. So overall, I think that underlying health of the business is in a really good place. Now, if I come back to your organic growth question, 4.3%, you look almost 5% in the fourth quarter, if you exclude private label, which we think is a more honest way to look at our business given the underlying base business being quite strong. And we think 5% in the current market environment is actually a really good number. Now we have plans to continue to develop the opportunities that we see ahead of us, but 5% in the fourth quarter, we feel pretty good about. Particularly on the volume side, almost 3% excluding private label, a little bit softer in some parts of Europe that we saw as we exited the quarter, particularly some of the softness we saw and continued softness in China behind our skin health business, but overall good volume growth. And we've been talking to you more about a normalization moving away from pricing growth in the P&L to more volume growth and that's consistent with what we've seen over the last couple of quarters. We did have less pricing from Argentina in the quarter, which we've talked about in our prepared comments. It was about 100 basis points less than we had in the first three quarters of the year, but we are still getting positive pricing and we've announced more pricing to offset some of the foreign exchange headwinds that we're seeing in Latin America already here in the first quarter. So if I come back to the underlying confidence that we have strong P&L flexibility, good balance sheet. The health of the brands is in a much better place than it's been. Market shares continue to inflect positively for the business. And overall, we're seeing a stabilization of the categories and hopefully we'll see the growth come back as we move through 2025.
Operator: The next question comes from Peter Grom with UBS. Please go ahead.
Peter Grom: Thanks, operator. Good morning, everyone. So I was just hoping to get some color on the gross margin performance in the quarter and kind of the cadence from here. Obviously, we weren't going to have sequential progress continuously, but it was the first time in a couple of years that hasn't happened. So I just would be curious how gross margin fared versus kind of your expectations. And then just looking ahead, I understand you expect another year of expansion, but just would be curious, if you could or it would be helpful if you could frame the path from here considering the exit rate? And then just within that, any color you can share on funding the growth just given what was a very strong year in 2024? Thanks.
Noel Wallace: Yes, good morning, Peter. Thanks. So let me just level set us here. We're up 70 basis points versus year ago with significant foreign exchange headwind. So again, another quarter north of 60% and I think overall we feel pretty good about that, slightly below where we were hoping given the transactional impact that moved through the P&L as we exited the quarter. But overall, the underlying margin driven by pricing, strong productivity through funding the growth continues to be very good. So we feel pretty good about where we ended up. And as I mentioned earlier, that we have taken some pricing in Latin America to begin to offset some of the foreign exchange headwinds we've seen. But let me turn it over to Stan, who'll give you a little bit more color on how we're thinking about the trajectory of gross margin and our confidence to be able to grow gross margin in 2025.
Stanley Sutula: Thanks, Joel. So Peter, we mentioned that we did all four quarters above 60% and we're up 70 basis points in fourth quarter. So we're happy with the margin expansion. And as we look ahead, there are several items that I think will help us as we go to drive that margin expansion. One is simply going to be mix. As we grow Hill's and we grow Oral Care, we get a positive mix as those are two of our more profitable businesses. So you combine that with less private label, which has a very low margin, you get a mix benefit going forward. You mentioned our funding-the-growth program, our productivity program long established extraordinarily well run by the teams. We've been planning on this for many months now heading into '25. So I think we're off to a good start on funding-the-growth. One of the capabilities Joel mentioned as we've made investments in is in some of our new capabilities and we have revenue growth management what we call 2.0 as we go to drive better performance on our revenue growth management. We have good innovation pipelines across the business coming in. And I think the combination of those will help us with expanding margin in 2025. Now as private label slowly mixes off, you'll see that go through the year, but we are confident in the ability to expand margin in 2025.
Noel Wallace: And then one other add, Peter, would be that we've seen a more moderating raw material environment. We'll watch that carefully. But relative to how we entered 2024, we seem to have better visibilities to where raw materials are going at this stage.
Operator: The next question comes from Bonnie Herzog with Goldman Sachs. Please go ahead.
Bonnie Herzog: All right. Thank you. Good morning. I actually had a question on your North America business. Pricing was negative last year and then segment volumes didn't necessarily benefit, I guess, in the back half of the year. So as we think about this year, how should we think about the contribution from price versus volume mix in North America? And then is it reasonable to assume that price contribution remains negative? And in that context, could you touch on the promotional environment and I guess how it compares relative to your expectations across your different categories in the market? Thank you.
Noel Wallace: Thanks, Bonnie, and good morning. Again, as we talked about back in the second quarter and some of the price adjustments we made to the business, which we think have helped improve the underlying health and certainly some of the strong volume performance we've had in the US continue to filter through the third and the fourth quarter. We'll see that kind of taper away as we move through the back half of 2025, but those prices adjustments are there. I would say that both volume and price sequentially improved in the fourth quarter as we exited the year in North America. I would also remind everyone that the segmentation that we have now includes the skin health business in North America as of the third quarter that we added that in there. And we did see a lot of softness in volume and price coming out of our skin business in China, which has been pretty consistent theme throughout the year. But overall, North America, if you take the underlying business, Oral, Personal and Home Care performed quite well. We saw, as I mentioned, sequential improvement. We saw some benefits from some of the shipment timing that we had this year versus last year and the volume performance ex-skin was very strong across the North America business. But that being said, we do have more work to do. We're still continuing to look at our go-to market strategies and our investment posture in the US. We continue to believe it's a strategic growth opportunity for the company and we will continue to invest in that business. We have new leadership in place, which we're excited about some of the strategic thinking that's coming from behind that. The exiting of the year saw some green shoots particularly in some of the categories including toothpaste, liquid hand soap and dish, particularly in some of the latter categories, which had been a headwind to us in the first part of the year. So we feel good about where we are from a strategic standpoint and from a growth standpoint. So overall pricing will improve, particularly as we move through the back half of 2025.
Operator: The next question comes from Andrea Teixeira with JPMorgan. Please go ahead.
Andrea Teixeira: Good morning. I just wanted to kind of like elaborate a little bit more if you can on the pricing front, what you're expecting on the FX driven pricing. You mentioned Latin America you took pricing. And if you are seeing anything in regards to some of the places where you have effects as well in Europe in terms of like how it fits into your guidance? And then related to that also on the volume, sorry, just to clarify, if it's mostly driven the volume components that you were seeing into 2025, where is going to be the most I mean the areas that you see the volume kind of like being positive on the algorithm from the 3% to 5% what's going to be the green shoots you're seeing? I'm assuming Hill's and some of the strength that you're seeing in Colgate Total as well. Thank you.
Noel Wallace: Sure. Great. Good morning, Andrea. So let me take the pricing question first. Obviously, I talked about offsetting foreign exchange and we'll continue to see some opportunities across the world, particularly in Latin America. But there are other markets across Africa that we will be taking pricing to offset some of the foreign exchange headwinds that we see moving into the year. Europe on the other hand will continue its value oriented pricing strategy, which is very much driven by a significant improvement in our innovation and the quality of our innovation to drive more pricing and value back into the categories. That was successfully deployed back in 2023 and throughout 2024. So we'll continue to make sure that we're bringing pricing into the category through some of the value oriented initiatives that we have. And as Stan mentioned, that will continue to be a key theme for all of our divisions as we increase our innovation. You heard me talk about the incrementality we're getting from our innovation. So we feel we're in a much more solid footing relative to how we think about innovation and its ability to be accretive through our P&L both from a growth standpoint as well as a margin standpoint. In terms of volume, we'll continue to have balanced volume across the year. Now we've said that we expected a shift from a pricing driven algorithm and organic to a more volume driven organic, excuse me, more volume driven algorithm on organic and that's exactly what's happening. We're seeing that consistently across all of our divisions. A little softness on the Hill's category, but we've seen consumption start to improve as we enter 2025 on the categories. So that bodes well, but that's been a little softer, but we'll get into Hill's later, but an outstanding performance in a flat category. And ultimately we'll see that category hopefully inflect positive as we move through 2025, but volume will come across the board. Asia will continue to be a good volume contributor. Africa has been a great volume contributor and no question Latin America as well as North America. So it's going to be pretty broad-based across the board. If you look if you take a step back for a moment and look at our volume shares and again a testament to our focus on brand penetration, our volume shares continue to inflect very positively across most of the regions. So we feel very good about our ability to continue to drive penetration through some of the initiatives that we have. And largely that's driven by the underlying health of the brand, which are in a much better place than they were five years ago, given the support that we're putting behind the business.
Operator: The next question comes from Kaumil Gajrawala with Jefferies. Please go ahead.
Kaumil Gajrawala: Hey, everyone. Good morning. Noel, you mentioned, you will talk about Hill's later, maybe we talk about it a bit now. If you could just talk a bit about the what's going on with volumes, particularly in Europe, is this something cyclical? Is there anything else changing? Just any more details would be useful. And then on RGM 2.0, perhaps just a little bit more on what that means, what you're able to do now versus what you were doing with RGM before? I think those would be helpful. Thanks.
Noel Wallace: Yes, great. And good morning to you Kaumil. So again Hill's continues to really execute against the strategy that we outlined three or four years ago. So obviously the volume was impacted by the impact of private label. So about a 200 basis points impact from the drag on private label. So overall a 3% volume growth on that business in a roughly flat category right now, we think is very, very strong. I'll start off with market shares on Hill's consistently one of the fastest growing brands in pet specialty. We continue to see strong share growth across other channels, great e-commerce growth, back to growth on prescription diet, which had been a drag on the business historically and that bodes well for mix and margin. So overall, the business is in a very, very good place and the fundamentals in terms of how we're executing against some of our strategies. We talked about the segment opportunities that we see in small pet. We talked about the segment growth opportunities we've seen in cat as well as wet. We feel we're right on pace with where we expected to be and see more opportunities to continue to execute those volume opportunities as we move forward. And those are more higher ASP opportunities, which will translate through the P&L as well. The supply chain is in a much better shape as well. We've talked about making sure that we really optimize our network and we're doing exactly that. The Tonganoxie ramp up, which will be our most automated facility in the world continues to go as expected. So, overall, we're in a -- we feel like we're in a good place. The category was a little soft in Europe. We don't think it's anything unusual to be too worried about, but obviously we're very focused on make sure that we go after those under index growth segments where we're not getting our fair share, where we now have strategies in place and innovation in place to actually capture that growth and that will help us offset. So within the context of the overall category, we are outperforming most of our competitors and we feel very good about where the business is going and the trajectory of that as we move into 2025.
Stanley Sutula: So let me pick up on the second part of the question around RGM 2.0 and you've heard us talk over the last few years about investing in capabilities. That's really what comes home to 2.0 and things like analytics and digital and data. We leverage those skills and those new capabilities to come into design our pricing strategy and market by product, our promotion strategy and timing. And we've seen some really great returns and customer feedback around those. So it's really taking an already talented workforce here enabling them with new capabilities and new skills that allows us to be more effective. When you combine that with innovation that we bring to market, it's pretty powerful end market. So we're comfortable that RGM is going to continue to contribute both to margin and to top line.
Operator: The next question comes from Kevin Grundy with BNP. Please go ahead.
Kevin Grundy: Great. Thanks. Good morning, everyone.
Noel Wallace: Good morning, Kevin.
Kevin Grundy: Noel, I was hoping to comment. Good morning, Joel. On advertising levels broadly. So you guys have done an outstanding job here over the past couple of years of increasing A&M levels. Of course, that's been funded by gross margin increases. But now with the things slowing down a bit, the expectation is that advertising and marketing levels are going to be relatively flattish year-over-year, right? So said differently maintained as a percent of sales. So how will you potentially weighing as you're putting the plan together, further increasing A&M levels as a percent of sales to the extent you could accelerate top line growth, further gain market share relative to margin and earnings growth expectations, just because the returns you've been getting in recent years have been so strong and further increasing. So broad context, I think on that front would be helpful. Thank you.
Noel Wallace: Yes, great, Kevin. I think the top line comment here is that we are very focused with a lot of our tech platforms and the work that we're doing around programmatic media personalization through data to really optimize and continue to find ways to be more precise with our spending that we've obviously gotten in a much better place than we were years back as you mentioned up 9% this quarter on top of 80% in the year ago. So we're in a much, much healthier place. And if you take all of the metrics that we use to assess brand health, which ultimately is the most important proxy and whether your advertising is working or not. And we continue to see very strong inflections on the strength of our brands around the world. We do have unique opportunities in certain parts of the world to continue to improve that, but in general a much better place than we've been. We're being far more deliberate with our advertising spend. And what I mean by that is more choiceful on the opportunities that we see in terms of driving category growth and growth for the Colgate franchise. And so we've been, I think, quite successful in earmarking money to certain parts of the world and in certain categories where we're seeing a much better ROI. I can't get into a lot of specifics, but you heard us back talk over the last couple of years on how we're using data analytics and our digital transformation has really unlocked a lot more efficiency in our spend and our ROIs have continued to improve sequentially. So as we move into 2025, it's really about continuing to make sure we're optimizing the growth and the spending that we've had and be more precise and tactical with how we think about using that money or more strategic on how we use that money across the board. So it will be efficiency, technology and making sure we find ways to optimize that spend in the areas where we're going to get the best return on investment.
Operator: The next question comes from Bryan Spillane with Bank of America. Please go ahead.
Bryan Spillane: Hi. Thanks, operator. Good morning, everyone. So just, I guess, we'd like to get your perspective on two quick things. One, Noel, just trying to put the 3% to 5% organic sales growth forecast for '25 in the context. Is this where does that stand relative to kind of where category growth is as we're exiting 4Q. So one just kind of your growth rate expectations relative to the category geographies? And then the second, just since because it's topical within the headline tariffs, I think in the prepared remarks you talked a bit about evaluating once you know but as we're thinking about tariffs, just because we're all going to try to put some probabilities on it and run some things through our model, just some basics that we should be paying attention to as we're thinking about this topic, just relative how size it could be, I don't know. Anything you could give us as an input would be helpful. Thank you.
Noel Wallace: Yes, good morning, Bryan. Great, I'll take the first part of the question and I'll let Stan talk about a lot of the great strategic work that we've been doing over the last couple of years to truly optimize our supply chain for more resilience and potential disruption. So if I take the category growth rates right now, we've seen I think the good news is we've seen more of a stabilization. We saw some falloff in the categories as we move through. I think the additive impacts of inflationary pricing over the last year and a half, but we've seen a more stabilization of the categories and which is good news. So categories in general, the categories in which we compete are growing 2% to 4%. So relative to our organic algorithm of 3% to 5%, we will be outpacing the categories and hopefully continuing to drive brand penetration and share growth. So I think the overarching comment is we've seen some stabilization in the categories based on some of the falloffs that we had seen in the third quarter and into the early part of the fourth quarter. And we have, we believe the right innovation, the right pricing and mechanisms in place to continue to outpace the categories.
Stanley Sutula: Good morning, Bryan. On tariffs, as we said in the commentary, we've not included any potential incremental tariffs in our '25 guidance, but we've tried to put the tariffs in context of our long-term supply chain strategy. So primarily we aim to have local manufacturing as a cost of shipping some of our products across long distances can be material. We spent the last few years building much more flexibility into our global supply chain, not necessarily about building more capacity, but rather making better use of the existing capacity and alternative sourcing as well as standardizing formulas across the markets. So importantly, we've invested meaningfully in our US supply chain, almost $2 billion over the last five years between investment in our Oral, Personal, Home Care business, along with the purchase of pet food capacity, the opening of our Tonganoxie wet pet food facility. We've increased the number of our US based manufacturing facilities by more than 40% over that time. So material investment into US capabilities. And let me give an example of some of our improved flexibility. While we had available machine manual toothbrush capacity outside of China in '21, we were limited in which SKUs we could actually produce in which plants. We can now produce more SKUs at more plants. So we have the same amount of capacity, but we can meet more customer and consumer needs from more geographic locations. And this philosophy gives us better flexibility as we enter a period with potentially higher tariffs. And we also have additional co-man capacity to provide flexibility. Now we do produce some of our products for the US in Mexico, primarily toothpaste, and we're working on potential mitigation plans, which can impact both raw materials and finished products. On raw materials, we import a limited amount of raw materials, predominantly specialty type ingredients like vitamins and amino acids. And as you would expect, we're planning for multiple scenarios, because it's not just the tariff that may be on Mexico or Canada or China, it's the impact of retaliatory tariffs that would also come into play on those supply chain. So we're looking at very tactical short-term, mid-term and long-term if necessary actions. But until we get more clarity, we have not included anything in our guidance.
Operator: The next question comes from Olivia Tong with Raymond James. Please go ahead.
Olivia Tong: Great. Thanks. Good morning. I want to talk through what you expect to be the volume implications of the pricing you're planning to take given the decel in volume in Q4. If you could talk to order of magnitude on the LatAm pricing, whether you've already implemented this. And if you're planning to price in other regions or whether the competitive or macro dynamics make that more difficult to push through. And then just you talked about advertising and being up -- being flat to up. What about promotion and your ability, if necessary, to pivot between advertising and promotion? Thank you.
Noel Wallace: Yes. Good morning, Olivia. Thank you. So let me take the latter part of the question first. The promotional spending has been, I think, quite constructive. We have seen some pockets of increased competitive activity. India was one where we saw heightened competition in spending in the fourth quarter. You probably saw that in the press release from the India results. We've seen some heightened competitive activity in South Africa as well. But more or less pretty constant across the quarter. US continues to be quite constructive, no significant changes there. So on balance, I would say the promotional environment continues to be as we would have expected, with some isolated pockets of increased activity, which we addressed in our statements earlier. So overall we feel we're in a pretty good place. But my expectation is you continue to move from a pricing to a volume environment, you may see more promotion. But we plan for that in our guidance and plan for that in our plans for 2025. Relative to Latin American pricing, as I mentioned, we've announced some pricing already in Latin America relative to some of the foreign exchange headwinds and we'll continue to watch that very carefully. We did not anticipate another significant devaluation in Argentina this year in our guidance or in our numbers. That may or may not happen. We will adjust that accordingly. I think it's worth saying that despite the significant foreign exchange headwinds we saw in Argentina, we did grow dollar earnings in Argentina, which I think is a great proxy to our ability to offset some of the transactional impact that we see as we move through foreign exchange. As I mentioned earlier, Europe is a little bit more challenging to do that. So we pivoted from price increases to really driving meaningful innovation that can drive value in the categories and ultimately drive some accretion on the margin line and the pricing line. And we'll continue to adopt that strategy overall.
Operator: The next question comes from Sergio Matsumoto with TD Cowen. Please go ahead.
Sergio Matsumoto: Hi. Good morning. It's Sergio Matsumoto. I'm with Rob Moskow's team. Noel and Stan, in Latin America, how does the current macroeconomic headwinds like inflation is impacting the demand of the category? And with the new administration in the US, how does that change your operations in the local countries in terms of any pricing changes that you might make or innovation?
Noel Wallace: Yes. Good morning, Sergio, thanks for the question. So as you well know, we've been in Latin America for 75 plus years. In fact, I'll be going down to Mexico in June to celebrate our 100 year anniversary in Mexico, which is a great milestone for us and for the Mexican company, which has been one of our most successful businesses in the world given our long-standing presence in those markets. Overall, we have dealt with a significant amount of volatility in Latin America over the last couple of decades. And so we're accustomed to obviously both political and economic disruptions and our ability to offset that with meaningful innovation and execution against the fundamentals that will ultimately drive category growth and our business. We've seen that consistently throughout this year as well. Latin America performance continues to be very, very strong. It slowed a little bit in the fourth quarter, but that was more due to some of the pricing that I mentioned earlier that was in the year-ago number in Argentina were through the first three quarters that we didn't necessarily have in the fourth quarter this year. But if I take our two biggest markets and characterize those perhaps in terms of categories and how we're doing, Mexico and Brazil, we had good quarters for both of those businesses. I'll start with market shares. Market shares are absolutely terrific in both of those markets. Volume and value shares are up. Overall, in Latin America, we had 8 of 10 countries up or flat in market share. Nine or 10 of those markets are up or flat in volume. So overall, the underlying health of the business continues to be very strong, and we're outpacing the categories in terms of our consumption. So from the perspective of categories, we saw a little slowdown, as we talked about in the third quarter around Mexico. But that business seems to have stabilized and we've seen better consumption as we've entered 2025. So overall, we think we're in a good place, but we're not immune to, obviously, the continued volatility around foreign exchange and the movements in terms of statements that are made with various countries. So we'll continue to execute against what we can control and that's the fundamentals of the business and making sure that we have flexibility through the P&L.
Operator: The next question comes from Christopher Carey with Wells Fargo. Please go ahead.
Christopher Carey: Hi. Good morning, everyone. You had mentioned some competitive activity in different markets globally, China joint venture, India, Africa, Eurasia. You didn't mention North America, but there's been some pricing investments. Can you expand a bit more on some of the end-market competitive activity you're seeing with some specificity on specific markets that you called out? Thanks so much.
Noel Wallace: Sure. Good morning, Chris. It's not unusual in terms of the heightened competitive activity as some of the manufacturers, particularly local players, are chasing more volume in their categories. We've been very selective on where we're going to address that, and we'll be sure to make sure we protect the health of the brands as we do that. But it was very isolated to a few markets around the world. India was probably the most notable with a significant increase in competitive activity in the urban space particularly in the modern trade where we saw a multitude of competitors discounting more to drive volume. We addressed some of that, which was reflected in the quarter. But we anticipate India will stabilize and get more rational as we move through the balance of the year. We've got good innovation plans and good focus on really driving some retail strategies that we think will allow us to offset some of that competitive activity and continue to drive share market and drive category growth. Turkey and South Africa were more isolated to some competitive activity there. We don't necessarily see that sustaining itself through the year, but we're well prepared as we mentioned in the guidance to address that if we need to. So overall, there's nothing terribly unusual. As I mentioned earlier, where we see a more constructive promotional environment, Europe would be an area where you might see heightened competitive activity, but we're seeing that be pretty consistent and we're growing significant market share in Europe as well. So we feel we're in a good place. Again, if you see more competitive promotion activity, the most important aspect for us is the underlying health of the business in a place we can continue to launch innovation to drive value and drive market share growth both in volume and in dollars and we're consistently seeing that, particularly in our Oral Care business around the world.
Operator: The next question comes from Steve Powers with Deutsche Bank. Please go ahead.
Stephen Powers: Hi. Great. Good morning, everybody. I guess I wanted to ask about just the base case shape of the P&L in 2025. It's great to see the call for another year of gross margin improvement and at least stable A&P investment. But I guess I'm curious as to how much of the expected underlying operating income improvement is going to be driven by that gross margin versus SG&A reductions and SG&A efficiencies. And then within that sort of what I'm assuming is increased focus on SG&A. Do you think you're going to have enough flex to keep up other elements of investment? You talked about innovation investment, but digital, data analytics, talked about AI. Those have all been, I think, fruitful pockets of investment the last couple of years. Can you keep that up in 2025? Thank you.
Noel Wallace: Hi. Good morning, Steve. Thanks. So again, I think the top line comment here is yes. While we've front-loaded a lot of that investment in '23 and '24, so we feel we're in a really good place, not necessarily having to play catch-up, there's going to continue -- we're going to continue to raise the bar and ensure we find ways to invest for the long-term health of the business, particularly around capabilities. And we have some exciting things underway in the data space, in the technology space as well that will continue to, we believe, drive more productivity through the P&L. But Steve, I come back to what we've been talking about and what was anchored in our 2025 strategy when we launched it six years ago. And that was ultimately getting all line items in the P&L in a place to give us more flexibility. And we're going to continue to really focus on doing that. There will be ebbs and flows in certain areas of the business that we have to address, but we need to have flexibility to go after the growth and fund that through various line items in the P&L. So from a capital structure in terms of where we put money, from a capability standpoint. It's really meant to go up and down the P&L as well as the balance sheet to ensure we have ways to continue to drive top-tier shareholder value. And we're going to do that with the consistency of performance and the health of the brands is an underpinning to that. So overall, we feel pretty good about where we are across the P&L. There will be some ebbs and flows as we move through the year. The year is an artificial construct as we say, we will continue to go after the opportunities as we see them. But in the absence of not having flexibility, that becomes very, very difficult to do. And we've shown, I think, over the last couple of years that having ways to flex certain aspects of the P&L and the balance sheet is the best way to drive long-term sustained growth.
Stanley Sutula: The only thing I'd add there is, as we look at the entire P&L and the balance sheet, while we drive productivity, it's not just a cut for cut's sake. We actually spent a lot of time in our budgeting process on resource allocation, both dollars and people, and where do we want to reallocate to drive performance in the business. And that hits every line of the P&L. And then our balance sheet as we drive better payment terms, better net working capital efficiency, it gives us the ability to reduce debt, invest back in the business, which when you look at that holistically is the flex that we've talked about in managing this day-to-day. But we're confident in our ability to deliver on our guidance for '25.
Noel Wallace: And I think the best proxy for that, at least that I shout a lot from here in New York is our return on invested capital. And that's really ensuring that we're using shareholder money in ways to drive the best return and to have the ROIC back in the 35%, 36%, I think, is a good example of us being very selective, as Stan says, to drive spending where we're going to get the best return on that investment.
Operator: The next question comes from Lauren Lieberman with Barclays. Please go ahead.
Lauren Lieberman: Great. Thanks. Good morning. Noel, since you referenced 2025 strategy, we're starting 2025. So I was curious if you could talk a little bit about, I guess, thoughts on the next leg? Will you be announcing a kind of 2030 strategy? And maybe what are some of the areas that you think you would add to that list? What are areas where you still have opportunities to keep pushing on the things that have really been working? Thanks.
Noel Wallace: Great. Good morning, Lauren. Thank you. I'm smiling here because we're on the eve of announcing our 2030 strategy that we'll be going through the organization with here in the next couple of months. We've been working tirelessly over the last year to really fine-tune that. We've taken the Board through that. And so we're quite excited. I mean, I think overall, the discipline around strategic planning in the company and I give the team tremendous credit for the work around that, has been excellent, and making sure that we continue to remind ourselves on the opportunity spaces that we have and the potential for continued growth to be sure that we're investing ahead of the curve in order to get there. And so that's exactly what we'll do as we unveil the 2030 strategy. Now there's always a temptation to throw out what you've had and put something new. I think the line that I would leave you with is consistency is really important to us. Execution and focus is really important to us. And the things that we've outlined as we launched our 2025 strategy about the growth mindset, about better innovation, about productivity up and down the P&L, about continued gross margin expansion, about investing in the health of our brands and optimizing our spending efficiency, all of that will be consistent as we move into the 2030 plan. There are areas that we think we can continue to dial up and sharpen. Innovation will be one of those, making sure that we continue to deliver the great incrementality that we're getting through the innovation. You heard me talk about the 45% more incremental sales coming from new products than we had historically. That's a big, big driver. You've heard me talk about in previous meetings that we've reoriented our incentive systems to get more after incremental innovation. So it's not just launching innovation for the sake of launching innovation, it's making sure it's driving incrementality to the category and to Colgate. So innovation will continue to be a big focus. Data and AI, we're excited about all the investments that we've made, both in training our organization, but really on the business use cases where we see the most -- best ways to optimize growth and efficiency through the P&L. That will be an interesting focus for us as well. And ultimately, as you look at the health orientation of our products, we will continue to rely heavily on our professional orientation and our ability to drive premiumization and loyalty behind strong endorsements and advocacy of our brands.
Operator: The next question comes from Robert Ottenstein with Evercore ISI. Please go ahead.
Robert Ottenstein: Great. Thank you very much. First, just a quick follow-up. You called out in your prepared remarks increased price competition in China. So I was wondering if you could elaborate on that. And then my main question is on the Total relaunch. I'm wondering if, first, you can kind of size that compared to other relaunches, just so we have a sense of magnitude in importance. How are you defining success on the relaunch? Maybe some early reads in Latin America? And also perhaps what you may be doing differently on the marketing side to make it successful? Thank you.
Noel Wallace: Yes. Good morning, Rob. Thank you. Let me just clarify. We didn't -- I don't believe we mentioned anything about increased competitive pricing in China specifically. We talked about obviously some softness perhaps on our Darlie business, which I'll address in just a moment. But the increase in heightened pricing is really in Asia was specifically related to India. And that's where we've seen most of the aggressive pricing. Overall, China, I would say, on balance, that the pricing environment is pretty stable. And our performance there is, quite frankly, quite good. We delivered positive organic growth in the quarter and that is with the Colgate business because it continues to operate extremely well. The Colgate business alone was up high-single-digit organic in China in the fourth quarter. And as you see that in comparison to a lot of our peer group, we feel we're executing extremely well with the new strategy that we've put in place three years ago. Now the Darlie business continues to be a challenge, although it's -- we feel we're getting better. We still have opportunities for some go-to-market changes in 2025. And we'll address that accordingly. But overall, we feel China will continue to be a slow growth, although we seem to be outpacing the category and our competition in many respects. But China continues to be difficult in the short to medium-term. But long-term, again, we value China and India as strategic growth opportunities for the company. China will put more or less $300 million of incremental middle-class consumers into the market by 2030. India will more than double that, probably $600 million to $700 million. So again, real long-term growth opportunities, so important to keep the health of the business and the investment profile in a place that we can obviously leverage that as we move forward. Total launch specifically on Total, Rob. We launched it in the fourth quarter in Latin America and we're in the midst of rolling that around the world. Latin America would be our best proxy. It is driving terrific share growth for Latin America. We've seen great performance across our core markets from the Latin America launch. We're rolling that out across Asia and North America and Europe as we speak. It is a meaningful upgrade in our formula, again, intended to really speak to prevention and the importance of prevention, which is obviously a key trend in the marketplace amongst consumers and looking for superior prevention in what they're asking for in a toothpaste. And we really elevated the focus on the science aspects of Colgate Total and getting a better formula into the market than we've had before across not only the toothpaste, but the toothbrush and the mouthwash, and creating real opportunities for category growth and regimen claims. So overall, we're very excited about the early signs that we're seeing in Latin America and intend to overly translate that across the world.
Operator: The next question comes from Korinne Wolfmeyer with Piper Sandler. Please go ahead.
Korinne Wolfmeyer: Hey, good morning. Thanks for taking the question. I'd like to just get a little bit more color on the pet nutrition business for 2025 and kind of like the cadence over the next four quarters that we should expect both from the portfolio rationalization, innovation, pricing, et cetera? Any color on that would be helpful. Thank you.
Noel Wallace: Yes. Good morning. Again, the Hill's, as I mentioned earlier, the fundamentals of the business are really, really strong. Now we've seen, obviously, we've talked about a little bit of slowdown in the category, but that's stabilized, certainly not getting any worse. And we continue to execute extremely well in that category environment with market shares continuing to grow volume ex-private label up nicely, and we'll continue to see that, we believe, trajectory as we move through the balance of 2025. I'll let Stan talk a little bit about the private label impact as we think about 2025. But if I take just the underlying business, again, very focused on segment growth opportunities for the business, I mentioned. We obviously have a very strong dog and cat business that we need to excel in small paws or the small dog segment, which is the fastest-growing part of the market. We need to excel in the wet segments. We have a real focus on that. And we obviously need to get back to more sustained growth in Europe. But overall, the business continues to perform well. We operate a portfolio in a diverse mix of countries around the world. We have the ability to pull on those markets. I think our largest market, North America, continues to execute extremely well, had a good quarter in the fourth quarter. And we expect nothing unusual from the Hill's business as we move into 2025.
Stanley Sutula: Look, I think the Hill's business is really well positioned, and it's based on really good execution by the team. They have done really well in a flattish category that we think will slowly improve through time. But the new innovation that they have coming to market, the wind-down of private label and the improved expansion, we think both will drive top line, but also, importantly, will drive margin expansion for that business. And I think they're in a nice position where they have enormous opportunities in numerous areas to go after to continue to expand. And I was just down at the VMX conference, which is the veterinary conference, with the North America team and extraordinarily well received down there with nearly 30,000 vet and vet techs attending that conference. And the Hill's booth was very well attended with great innovation and explaining the value that we bring. We've also invested over the last several years into our pet nutrition center and the science behind our diets, which I think will continue to bring that innovation to market. So I think Hill's is really well positioned heading into '25. We've got market expansion opportunities both in the US and abroad and a science-based profession driven product set.
Noel Wallace: Yes. And if I can just add one more point is that we're seeing the margin inflection there. So you had talked to us a lot over the past couple of years about margin performance at Hill's. And what we've seen now is that margin has truly begun to inflect positively. And that's not just the private label mix. That's really on the underlying business. It's some of the mix improvements that Noel had talked about in terms of prescription diet, wet, et cetera. So as Stan mentioned, from a bottom line standpoint, the inflection is there and it really gives us the confidence that we can continue to invest back in this business.
Operator: The next question comes from Mark Astrachan with Stifel. Please go ahead.
Mark Astrachan: Thanks and good morning everybody. I wanted to stay on the Hill's business for a minute. Broadly, it seems like there's been a bit more volatility in the pet food category than I think maybe people would have anticipated. Years ago, you talked a little bit about volatility. In this quarter, we saw a little bit of that kind of coming out as we lapped COVID comparisons, but whether it's pet adoption or the decreased usage of pet food periodically, which doesn't seem to make a ton of sense. I guess could you just opine a bit on what you think is adding to the category volatility? Is it all pricing that's been taken? And just more of a broader comment I guess specific to the US, maybe you could also just elaborate on how you think about the performance of the Hill's business by geography, if you don't want to give specifics, just broader strokes between US and international. And then just talk a bit about the competitive environment. There's clearly been some at least smaller kind of niche year categories becoming more mainstream. And how do you think about the adoption of that and the impact on your business over time? Thank you.
Noel Wallace: Good morning, Mark. Thank you. So I think the importance here is staying in our swim lanes on this one. We see the fastest growing part of the category continued to be science based premium pet nutrition, and we're outpacing the category in that regard and helping to drive significantly more value into our retail partners. So the innovation that Stan talked about will continue to be focused on scientific, therapeutic variance and innovation that continue to drive a differentiation and real value orientation back to the pet owner moving forward. Yes, there's been some stabilization in the category. The category is flat. We mentioned that we're growing. We still see, as we look at it, yes, we'd like to see that start to inflect positive, which we expect will probably come towards the back half of 2025. But the segments that where we want to grow continue to afford significant upside potential for our business and our ability to continue to drive volume and price and profitability through the P&L. And I've talked about those segments. So we're very focused on that aspect. A lot of noise in the category, a lot of different things happening in the category. But strategically, the growth spaces and the swim lane, so to speak, where we want to compete, we continue to see nice growth opportunities for the business and sustain profitability as we've improved, as Stan and John mentioned, the underlying fundamentals in the P&L are in a much better shape than they were years back.
Operator: The last question today comes from Filippo Falorni with Citi. Please go ahead.
Filippo Falorni: Hi, good morning everyone. Noel, you talked about building flexibility not only on the P&L but also on the balance sheet. So just curious on capital allocation and increased appetite potentially for share buybacks considering the share level. And then on M&A, big picture, can you remind us kind of your strategic areas of focus and parameters for M&A? Thank you.
Noel Wallace: Yes. Thanks, Filippo. So again, our prioritization around capital allocation is investing back behind the business to drive efficiency and growth. And again, I'll come back to the return on invested capital, we're seeing a great return as we invest back in the business and our ability to drive more top line growth and more savings through the P&L. Second, the share repurchases and dividends. You've seen the strong numbers. I'll let Stan maybe talk to that in just a moment. But what you've seen, obviously, our focus on driving top Tier TSR, not only through the growth of the earnings, but our ability to continue to find ways to reward our shareholders through our dividend policy, et cetera. So overall, we'll continue to focus on strong working capital cash generation to allow us to buy shares where appropriate and to continue to invest in our dividend based on Board approval. But overall, we feel like we're in a much better place to make sure we're providing different levers to drive shareholder return on a consistent basis.
Stanley Sutula: When we go through our annual budgets and our execution, we have a theme that underlies all that, and that's growth, margin and cash. So cash is a fundamental part of how we run each of the businesses. And you've seen that drive in cash flow achieving $4.1 billion in operating cash flow, a record for us. But that gives us the ability to allocate those resources. And as we look at that, that stayed the same, as Noel said, which is invest back in the business. That can come in multiple forms. Return to shareholders, and then M&A, where we see the right opportunity that's aligned to our strategic direction because that helps give us a north star for where we want to invest and maybe what parts of the portfolio that might be better off somewhere else to drive long-term value for us. And you saw this year that we actually did increase our share buybacks. We did $1.1 billion net and return to shareholders was up over 20% year-to-year. And we have a long-standing dividend that we believe is competitive. And when we think about capital allocation, it starts with delivering the cash to enable that. And we're pretty comfortable with where we are. Proud of the team for a great ROIC and the ability to drive that into '25.
Operator: The last question today comes from Edward Lewis with Redburn Atlantic. Please go ahead.
Edward Lewis: Yes. Thanks very much. Just looking at the European performance with the balance of 2024. And I thought it was notable to see you delivering both positive volume and positive price. I appreciate the move of skin into North America probably helps a bit there. But still, I thought that's quite a change from what we were accustomed to see. I know you don't necessarily split out where the marketing spend is going, but how much of the incremental marketing support has gone into Europe? And how much then does that give you the confidence to be able to sustain these accelerated growth trends as we go forward?
Noel Wallace: Yes. Good morning, Ed. Thank you. Listen, I'm glad we're finishing up with Europe, because what a terrific performance they had in 2024 and another strong fourth quarter coming off of a strong year-to-date before that. Organic growth across all hubs for the quarter. Yes, we've seen some of the inflationary pricing we see, but we are getting pricing, as you mentioned, balanced pricing and volume growth in the quarter. I think a testament again to the real focus on our RGM analytics and how we're maximizing our promotional spend in those markets. Likewise, a really strong innovation, pipeline of products in '24, and you'll see that again in 2025 and our ability to drive more value oriented back into the categories, more price orientation. So that drives our price and the category at the same time. Good operating profit and margin performance is critical to sustain the advertising. Our advertising to sales was up about 220 basis points. So again, driving a lot of the brand health measures that we have. And I think what's most pleasing is the record market share performance we saw in Europe, particularly behind our Oral Care business, both on Colgate and Elmex. We're now up 300 basis points in market share versus where we were in 2016. And the shares as we exited the fourth quarter were at a record high particularly in some of our key geographies. So we feel very good about our ability to continue to drive organic growth in that market and drive operating profit growth given the health of the business. And that will be driven by innovation and a sustained level of advertising across multiple categories in Europe.
Noel Wallace: So with that, thank you very much for your questions again. Let me end where I started, which is a profound thank you to the Colgate team. Surpassing $20 billion in sales for the first time in our 217 year history is an important milestone for the company. The continued health of the business and the continued improvements we've seen up and down the P&L and in our balance sheet is a real testament to the incredible organization of people that we have working day in and day out in an extremely volatile world out there. So I thank them. And I look forward to seeing everyone down in Florida, CAGNY.
Operator: The conference has now concluded. Thank you for attending today's call. You may now disconnect.